Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Hailiang Education Group's Fiscal Year 2020 Financial Results Conference Call. During today's presentation, all parties will be in a listen-only mode. This conference has been recorded today, Thursday, October 15, 2020. Joining us today from Hailiang Education Group are the company's Chairman and CEO, Mr. Junwei Chen; the company's Vice President, Mr. Ping Huang; the company’s Chief Financial Officer, Mr. Jianguo Yu; and the company's Board Secretary, Mr. Litao Qiu. I would like to remind our listeners who are on this call, management's prepared remarks contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements as contained in the Private Securities and Litigation Reform Act of 1995. Hailiang Education is under no obligation to update or alter its forward-looking statements whether as a result of new information, future events, or otherwise. At this time, I would like to turn the call over to Mr. Junwei Chen, Chairman and CEO of Hailiang Education Group. Mr. Chen, please go ahead.
Dr. Junwei Chen: Thank you operator and everyone for joining Hailiang Education’s fiscal year 2020 earnings conference call today. Before we start I would like to introduce myself briefly as this is the first time I attend this call as Chairman and CEO of Hailiang Education. I was appointed as Chairman and the CEO of Hailiang Education Group on June 23, 2020. Prior to that I was Vice President of Hailiang Group and the President of Hailiang Education Management Group. I personally hold a PhD degree in Energy and Resources Engineering from Peking University, one of the top two universities in China. During my time at the Peking University, I also served as the 38th Chairman of the University’s postgraduate student association. I appreciate your continuous support and attention to Hailiang Education and I welcome all of you to visit Hailiang Education and meet in person in the future. Now I will move back to our business review. In the past fiscal year, our performance has been strong and stable demonstrating our continuous progress in executing and innovating our growth strategy and highlighting the resilience of our underlying business despite temporary disruption and a short-term impact on our business caused by the COVID-19 pandemic. For the fiscal year 2020 our revenue was RMB1,482.6 million, slightly decreased by 1.1% year-on-year from RMB1,499 million. However, the decline was mainly due to non-K-12 educational services which was impacted by COVID-19 and our revenue from K-12 educational services was RMB1,308, increased from RMB1,217 million year-on-year. Our net profit attributable to Company's shareholders was RMB370.8 million, increased by 26.4% year-on-year from RMB293.4 million. Our gross profit margin was 33.7% and net profit margin was 25%, increased from 31.5% and 19.6% respectively. In addition, we are pleased to have the celebration of our 25th Anniversary in 2020. We have received awards such as the Best China Concept Stock in the education sector 2020 by Zhitongcaijing, a leading financial media agency in China. Top Ten Influential Brands of Chinese Education Enterprises Award by 2020 China Brand of Ultimate [ph]. As of June 30, 2020 the scale of the company's school network has expanded to 37 schools. The aggregate number of enrollments in both our affiliated and managed schools was 66,344 students, which included a 23,716 students enrolled in our affiliated schools. The number of students enrolled in basic education programs of our affiliated schools was 18,857, and the number of students enrolled in the international programs of our affiliated schools was 4,859. As of the date of our annual report on 20-F filed October 14, 2020, there were four new affiliated schools that started operations or was acquired in September 2020. They were Lanzhou Hailiang Experimental School, Wuhu Hailiang Experimental School, Hailiang Overseas Chinese School, Jinhua Hailiang Foreign Language School. For the Fall Semester of fiscal year 2021 as of September 20, 2020, the aggregated number of students enrolled in our affiliated schools increased to 26,865 which included 2,542 students enrolled in our four new affiliated schools that started operation or was acquired in September 2020. The number of students enrolled in the basic educational programs of our affiliated school was 80,864, and the number of students enrolled in the international programs of our affiliated schools was 6,001. Such number of students enrolled in our affiliated schools represented a 13% increase, demonstrating a strong prospect of our performance in fiscal year 2021. As of the date of our annual report on 20-F filed on October 14, 2020, we have facilitated the development and application of Smart Campus and Smart Classrooms by establishing an experienced team composed of education professors -- education professionals and IT developers and cooperating with top Chinese universities and leading enterprises. With the integration of IoT, cloud and big data technology and the innovation of education and management experiences, we have launched a variety of applications and IT infrastructures, such as "iClass", "Star Classroom", "Star Teacher Training", and online registration system, to improve efficiency of our standardized management and quality of teaching and learning. When the outbreak of COVID-19 first appeared, with careful and proactive arrangements and deployments, we regarded the safety and health of all our students and employees as top priority and made appropriate short-term adjustments to our business operations when needed. To reduce the negative impact of COVID-19 on planned teaching progress of the Spring semester, we launched 'Hailiang VIP Cloud Virtual Classroom' in February 2020 to ensure that our students could continue their courses as planned before the outbreak of COVID-19 via online live classes. Benefiting from our abundant educational services, outstanding facility capabilities, and technical advantages in IT infrastructure, our online education services and "Smart Campus" platform have thrived during the outbreak of COVID-19. Despite this pandemic our [indiscernible] still hit the records. Student enrollment of 72,839 for the fall semester of 2020 or the "Fall Semester" as of September 20, 2020, up approximately 9.5% compared to 66,543 students for the same period of last year. The increase in enrollment has effectively confirmed that the impact of COVID-19 on the company is very limited. As of the date of our Annual Report on 20-F filed on October 14, 2020, we have 13 affiliated schools and provide education and management services for 29 private and public schools. The company will continue to diversify business model, increase the proportion of axillary education services, invest in the application and the development of education technology, and improve the ability of teachers and the management team to improve our education quality, maximize academic performances, optimize management efficiency, support our school network expansion, and diversify our education services offerings. In the future, we are expected to further explore international expansion strategies and to build or invest or hire private schools in one belt and one road countries and develop the countries with strategic synergies. Now thank you again for all your support and attention. Next, I will turn this call over to Mr. Jianguo Yu, our CFO who will summarize our fiscal year 2020 financial results on behalf of the management team. Mr. Yu, please go ahead.
Jianguo Yu: Thank you, Mr. Chen and good morning everyone. Now, on behalf of management team I would like to summarize some of the key financial results for the fiscal year 2020. For the fiscal year 2020, our revenue was RMB1.482 billion or $209.8 million slightly decreased by 1.1%. From RMB1.499 billion our gross profit was RMB499.4 million or $70.7 million, an increase of 5.8%. From RMB472.1 million our net profit was RMB366 million or $51.9 million, an increase by 16.1%. From RMB315.8 million our gross profit margin was 33.7% and net profit margin was 24.7% increase from 31.5% and 21.1% respectively. Compared to the same period last year, our net profit attributed to the company's shareholder was RMB370.8 million or $52.5 million increased by 26.4%. From RMB293.4 million basic and the diluted earnings per share was RMB0.9 or $0.13 compared to RMB0.71 for the same period of last year. Our revenue mainly derived from K-12 educational service, educational training service, study trips service, education and management service, revenue from K-12 basic educational program was RMB859.2 million or $121.6 million, an increase of 6.6% from RMB805.7 million for the same period of last year. Revenue from K-12 international program was RMB449 million or $63.6 million, an increase of 9.2% from RMB411.3 million for the same period of last year. Revenue from Educational Training Service was RMB53.7 million or $7.6 million, a decrease of 62.6% from RMB144.2 million for the same period of last year, mainly due to the liquidation of Jiangxi Haibo Education Management Corporation Limited. Revenue from study trip service was RMB56.4 million or $8 million, a decrease of 30.8% from RMB 81.5 million for the same period last year mainly due to the restriction on traveling because of COVID-19 outbreak, which affect the study trip in the second half of fiscal year 2020. Revenue from education and management service was RMB48.3 million or $6.8 million, an increase of 18.1% from RMB40.9 million for the same period of last year. Other revenue mainly represented revenue derived from overseas study consultations, consulting services, hotel management services, other revenue was RMB16 million or $2.3 million, an increase of 3.9% from RMB15.4 for the same period last year. The cost of revenue was RMB983 million or $439.2 million, a decrease of 4.3% of RMB1.26 billion for the same period of last year. The decrease was primarily due to the steep decrease in the transportation costs related to K-12 educational service and study trip services result of outbreak of COVID-19 and a slight decrease in labor costs of our teachers and the teaching staff. Selling expense was RMB26.9 million or $3.8 million, an increase of 7.6% from RMB25 million for the same period of last year. The increase was mainly attributed to increased student enrollment reward on the recruitment and administrative expenses or RMB77.5 million or $11 million, an increase of 6.7% from RMB72.7 million for the same period last year. Other income was RMB72.8 million or $10.3 million, an increase of 189.9% from RMB25.1 million for the same period of last year, primarily due to increase in government grant subsidy we received from the local government. Finance income was RMB25.1 million or $3.6 million, a slight increase of 0.8% from RMB24.9 million for the same period of last year. The finance cost was RMB4.4 million or $0.6 million, which represented interest on release liability upon the adoption of IFRS 16. Income tax expense was RMB121.9 million or $17.3 million compared with RMB108.7 million for the same period of last year which was driven by the growth of tax profit. Our effective tax rate in the fiscal year 2020 was 25% compared with 25.6% fiscal year 2019. Now for a quick summary of our balance sheet and cash flow. As of June 30, 2020 we have cash and cash equivalents of RMB503 million or $71.2 million, compared with a RMB260.7 million as of June 30, 2019. Net cash provided by operating activities was RMB431 million or $61 million, compared with RMB690.3 for the same period of last year. The net cash used to invest in activities was RMB127.8 million or $18.1 million, compared with RMB1.234 billion for the same period of last year. The net cash used in financing activities was RMB61.4 million or $8.7 million, compared with RMB7.3 million for the same period of last year. Now I will turn the discussion over to operator for any questions.
Operator: [Operator Instructions]. Today's first question comes from Aron Su a Private Investor. Please go ahead. Hello, Aron Su your line is open.
Unidentified Analyst: So I was muted, sorry, can you hear me right now.
Dr. Junwei Chen: Yes, we can hear you.
Unidentified Analyst: Okay, thank you. Thank you. Good morning management, congratulations on another outstanding year. Actually my question is I noticed that Hailiang Education released two strategic projects which are project of invigorating education with talents and the project of operating revitalizing education through technology. So my question is, what are the specific implementation measures and what is the significance for the future development of Hailiang Education? Thank you.
Dr. Junwei Chen: Thank you for your question, this is Dr. Chen and I'm going to take this question. I am very glad that you noticed this and happy to share my thoughts of this. These two strategic projects are indeed our core strategy in the future that might lead HLG to a brighter future. As our Founder always said, talent development determines the future of an enterprise and one of our core mission is to bring talented people to educate our students. Within the next five years, we expect to have 120 teachers with professor equivalent titles or exceptional teachers titles or go to Olympiad competition training coaches. We are expected to have 250 teachers graduated from the top two universities in China, i.e. Peking University and the Tsinghua University. And by then most of our teachers will hold a Master's degree or above. We are committed to attracting more high level alumni to join the higher education, which is in fact a reform on the supply of talent, creating a Full Lifecycle Talent Training Plan to our alumni. The Full Lifecycle Talent Training Plan will start from the junior year at high school and we will provide our students career plan evaluation to guide their future career decisions. During college stage we will continue to monitor our graduates development and enhance their comprehensive and professional capability through study trips, internships. For those who join Hailiang Education after graduation, we will provide on the job mentoring and training to shorten the time to adapt to their new position at Hailiang Education. In order to facilitate this strategy in the next three years, Hailiang education will operate with 10 to 20 top tier universities in China including normal universities and universities with strong education majors and expect with 30 to 50 foreign universities to achieve that. Secondly, Hailiang education will continue to take advantage of science and technology to lead the reform of China's basic education from our own core competitiveness and undertake the important task of education plus technology. With the mission of making school operations easy for everyone as the master designer earned school operation management expert of Hailiang Education. Our Hailiang Education Research Institutes will leverage our strong research team, sophisticate the professional capabilities, and accumulated education experiences and high end strategic partners to offer our students with happier learning experiences, healthier bodies, more knowledgeable minds, and a more ideal university destination. Hailiang Education combines 25 years of education management experience with technology and cooperates with partners like Tsinghua University, Peking University, and Alibaba DAMO Academy to form a powerful pool of resources, curriculum, big data, experiences, and technologies. With the full cooperation and full support of all departments and schools of Hailiang Education we will strive to complete the research and development of Hailiang Education’s know how of school operation, to reduce the headcount of a standard school by one third to standardize our school operations for future exports of management, and to improve our brand and education quality, and to fully support the future development of Hailiang Education. I hope the above points can address your questions.
Unidentified Analyst: Thank you very much.
Operator: Our next question today comes from Erid John, a Private Investor. Please go ahead.
Unidentified Analyst: Hello and thank you operator, and good day. My question is the current situation of educational industry is really good and I would like to know Hailiang Education future development recommendations and expectations for educational training business? Thank you.
Litao Qiu: Okay, thank you. This is Litao Qiu, I am the Board Secretary. Let me answer your question. Actually Hailiang Mingyou Company, which is our educational training company currently provides a training platform system to support thousands of our students interactive online studies. Currently, we also have three learning center located in Zhuji and Hangzou which is in the Zhejiang Province, and we plan for year 2020 we actually already have around 22,000 student attendance. From a long-term perspective we plan to open new learning centers in more cities where our K-12 school are already located. As a result which we could avoid significant starting expenses and also has a better profit margin compared with other players in the same education or training sectors. Beginning from year 2021 we plan to open 10 learning center each fiscal year based on our internal financial model. Mingyou species will undoubtedly be one of many key revenue growth drivers in the next few years. Thank you.
Operator: Our next question today comes from Maggie Zheng with Cantor Investment [ph]. Please go ahead.
Unidentified Analyst: Thank you, operator. Good evening management. This is Maggie from Cantor Investment. We would like to know what is the impact of COVID-19 on company's financial performance for this fiscal year? Thank you.
Jianguo Yu: Hi, I am Jianguo Yu, I am the CFO, I will answer this question. Thank you very much. The outbreak of COVID-19 has impacted our business lines, especially our K-12 educational service and study services. For our K-12 educational services, we launched online education and tutoring platform, which enabled our teachers and our educational staffs to provide our regional curriculums to their students online while our schools was not allowed to operate in-person teaching classes. As a result, the only refund of accommodation and transportation services was accrued for RMB29.5 million which has been a limited impact on our revenue from K-12 educational services. Besides the revenue from K-12 education services for high school level of RMB32.3 million was deferred to the next fiscal year due to the delay of school year and middle and the price of primary school was not significantly impacted. For study trip services, the revenue was decreased by 30.8% or RMB25.1 million year-to-year. Due to the current regulation and the travel restrictions imposed by the Chinese government and authority, revenue from onsite education training services declined to a certain extent due to the suspension of a physical class during the pandemic period. Despite of the pandemic, our gross profit increased by 5.8% or RMB499.4 million to net profit attributed to our shareholders increased by 26.4% to RMB370.8 million in the fiscal year 2020. I hope that answer your question and thank you very much. Operator.
Operator: Thank you, our next question comes from Eric Lee, a Private Investor. Please go ahead.
Unidentified Analyst: Thank you operator. Hi management. My name is Eric who is a Private Investor. So we know that the company has a certain number of the related party transactions. How does a company ensure the fairness of the related party transactions? Thank you.
Jianguo Yu: Hi, I am Jianguo Yu, I am the CFO. Let me answer this question for you. Thank you very much. To improve the transparency and fairness of related party transactions, we are taking the following steps to address your concerns. We will make a price of related party transactions according to the market price of similar products or services and conduct internal evaluation of the pricing regularly. We will involve a third party to make assessment on the pricing or the fairness. The management will issue formal management opinions on all related party transactions and all related party transactions are approved by our audit committee and Board of Directors in advance. We disclose the detail of all our related party transactions in our financial statements annually to our investors and thank you very much for the questions and we're looking forward to meet you again. Operator.
Operator: Our next question comes from Ivy Wan [ph] with Universe Securities. Please go ahead.
Unidentified Analyst: Thank you, operator. Hi everyone from Universe Securities. I have several questions. So my first question is, are there any detailed points or assumptions [ph] for revitalizing -- underdeveloped regions or are there any plans or strategic, acquisitions to expand our school network across first tier and the capital cities? Thank you.
Dr. Junwei Chen: Thank you. This is Dr. Chen and I will take this question. Yes, the education and revitalization of underdeveloped regions will be one of the three key actions to be launched in the coming fiscal year. While the education resources in underdeveloped regions are well below the average of China, Hailiang Education has a very good position to export our experiences, education, and the management system and education technology to these regions. By liaising with Hailiang Group we could establish K-12 schools in underdeveloped regions without spending heavy capital expenditures and form a career platform to attract graduates from top universities to work in these underdeveloped regions. And as a result, we could improve education, quality of local schools, and through the application of our education technology and the early education services with a student and teacher platform composed of a vast population of students in public and private schools of underdeveloped regions. And at the same time, our business model can be expanded and replicated to these regions successfully. At the same time, expansion in first tier or large cities in China is also one of our key options in the next few years, as what we did before we will continue to evaluate and explore opportunities in the development of large cities in China and potentially acquire, establish, or operate and manage additional schools in these cases in these regions to expand our school networks in China. I hope I can answer your questions.
Unidentified Analyst: Yes, thank you. That's good to know. So my second question is, I know you have already moved to online classes so what processes are in place, where are you looking to implement to maintain your standards of teaching? Thank you.
Litao Qiu: Okay, first of all, this is Litao Qiu, I am the Board Secretary. Let me answer your question. First of all, all student and teacher activities are already actually returned back to normal. But during the outbreak of COVID-19, we launched the Hailiang VIP class, virtual classroom in February 2020 to ensure that our students could continue their courses as planned before the outbreak of COVID-19 via the online lifestyle classes. All teachers were trained to master online education platform and standard training course wear and efforts were implemented across our affiliates and managed schools. I hope this can answer your question. Thank you.
Unidentified Analyst: Yeah. Yeah, thank you. So can you give us some updates on sports or other after school activities you have when you entered online classes and thank you?
Litao Qiu: Oh, okay. As I just mentioned all our student and teacher activities already back, returned to normal, but during the outbreak of COVID-19 heavy periods we actually deliver our after school activity for the online interactive system. And according to the feedback from the students, they are quite happy with this arrangement. Yes, thank you.
Unidentified Analyst: Yes, thanks a lot. So thank you. My next question is about our Singapore expansion. So do you view the international expansion international growth segments for our company to move forward and if so is the East Asia the focus for international growth? Thank you.
Dr. Junwei Chen: This is Dr. Chen and I will take this question. Yes, international expansion is also one of our three strategic actions in the next five years. Regarding our international expansion strategies we will extend outside China in two different aspects. For once the [indiscernible] we will continue to look at opportunities in some developed countries, which are the destination countries of our international programs, including UK, Singapore, Australia, and potentially U.S. By expanding into these countries we will acquire some boutique K-12 schools there to achieve some synergy with our existing business in China. We can send our existing students to have study trips in these overseas schools and send some of our students to study in these schools, in high school grades and also on the other side these schools can provide improvement to our existing international curriculum and also help training international students -- teachers in our existing network. That's one aspect. And for the other aspect, we will continue to explore opportunities in the road and belt initiative countries. Currently, we have observed that there are great demands of studying in China or studying in China studying curriculums with some China elements in this road and belt initiative countries. Right now we have an international graduate students college in our Zhuji campus, and most of these students are from families in these road and belt initiative countries. So we believe that by establishing schools in these countries Hailiang can quickly export our education philosophy and principles in these countries and generate substantial interest from these -- from citizens in these countries. Yes, that's a brief summary of our international expansion strategies.
Unidentified Analyst: Yes, thank you very much for a detailed explanation. So my last question is about our educational training services. So what can you attribute to the high rate of growth for this sector before the shutdown of Jiangxi Haibo Education Management, do you expect this growth to continue in the future and thank you very much?
Dr. Junwei Chen: Okay, yeah, I will also take this question. Yes, the educational training for this segment will continue to be a main course driver for our business in the next few years. In the past few months, we have successfully established three learning centers in Zhuji and Hangzhou where our K-12 schools are already located. And in the upcoming fiscal year, we will continue to replicate to this business models in regions that are adjacent to our existing schools. By taking these strategies and achieve synergy with our existing schools, including cost sharing, student recruitment, etc., we believe that our new established learning centers can generate a relatively high growth and net margin to our entire group. So with the contribution of these new offline and online training centers, these segments of business will continue to generate a substantial contribution to our overall financial performances, well, very positive to the development of this sector in upcoming fiscal year.
Unidentified Analyst: Yes, thank you. That's all my questions. Thank you very much.
Operator: Thank you. Seeing no further questions, let me turn the call over to Mr. Litao Qiu, to our Board Director for closing remarks.
Litao Qiu: Okay, thank you. Thank you operator. On behalf of entire management team I would like to thank everyone again for joining us today for our conference call. Additionally, I would like to remind you that certain statements by Hailiang management during these meetings be considered forward-looking statements which are made under the Safe Harbor provisions of U.S. Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts in these announcements are forward-looking statements including but not limited to the following; general economic conditions in China, competition in the education industry in China, the expected growth of the Chinese private education market, Chinese governmental policies relating to private educational services and providers of such services, health epidemics and other outbreaks in China, the Company's business plans, the Company's future business development, results of operations, and financial condition, expected changes in the Company's revenue and certain cost or expense items, its ability to raise additional funding, its ability to maintain and grow its business, variability of operating results, its ability to maintain and enhance its brand, its development and introduction of new products and services, the number of students entrusted by schools, the successful integration of acquired companies, technologies and assets into its portfolio of software and services, marketing and other business development initiatives, dependence on key personnel, the ability to attract, hire, and retain personnel who possess the technical skills and experience necessary to meet the requirements of its clients, and its ability to protect its intellectual property, the outcome of ongoing, or any future, litigation or arbitration, including those relating to copyright and other intellectual property rights, and other risks detailed in the Company's filings with the U.S. Securities and Exchange Commission. Hailiang Education may also make written or oral forward-looking statements in its periodic reports to the SEC, in its annual report to shareholders, in press releases and other written materials, and in oral statements made by its officers, directors, or employees to third parties. Statements that are not historical facts, including statements about Hailiang Education's beliefs and expectations, are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties, whether known or unknown, and are based on current expectations and projections about future events and financial trends that the Company believes may affect its financial condition, results of operations, business strategy, and financial needs. Investors can identify those forward-looking statements by words or phrases such as "may," "will," "will make," "will be," "expect," "anticipate," "aim," "estimate," "intend," "plan," "believe," "potential," "continue," "endeavor to," "is/are likely to," or other similar expressions. Further information regarding those and other risks is included in our annual report on Form 20-F and other filings with the SEC. All information provided in this press release is as of the date of this press release, and Hailiang Education undertakes no obligation to update any forward-looking statements, except as may be required under applicable law. If you have any questions, please contact us through email at ir@Hailiangeducation.com or reach us on our IR Consult Ascent Investor Relations at tina.xiao@ascent-ir.com. Management will respond to your questions as soon as possible. We appreciate your interest and support in Hailiang Education and look forward to speaking with you again next time. Operator, please go ahead.
Operator: Thank you again for coming to Hailiang Education Group’s fiscal year 2020 earnings conference call. This concludes our call today and we thank you all for listening in. Goodbye.
Dr. Junwei Chen: Goodbye. Thank you.